Operator: Welcome to ON24's Third Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to Lauren Sloane of Investor Relations. Thank you and you may begin.
Lauren Sloane: Thank you. Hello and good afternoon everyone. Welcome to ON24's third quarter 2025 earnings conference call. On the call with me today are Sharat Sharan, Co-Founder and CEO of ON24, and Steve Vattuone, Chief Financial Officer of ON24. Before we begin, I would like to remind everyone that some information provided during this call will include forward-looking statements regarding future events and financial performance, including guidance for the fourth quarter and fiscal year 2025 as well as certain fourth quarter and full year non-GAAP projections. These forward-looking statements are subject to known and unknown risks and uncertainties that could adversely affect ON24's future results and cause these forward-looking statements to be inaccurate, including our ability to grow revenue, attract new customers, and expand sales to existing customers, the success of our new products and capabilities, and our ability to achieve our business strategies, growth, our process for evaluating indications of interest, or other future events or conditions such as the impact of adverse economic conditions and macroeconomic deterioration. ON24 cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. Please refer to the company's periodic SEC filings and today's financial press release for factors that could cause our actual results to differ materially from any forward-looking statements. We would also like to point out that on today's call, we will report GAAP and non-GAAP results. We use these non-GAAP financial measures to evaluate our ongoing performance and for internal planning and forecasting purposes. Non-GAAP financial measures are presented in addition to, and not as a substitute for, financial measures calculated in accordance with GAAP. To see a reconciliation of these non-GAAP financial measures, please refer to today's financial press release. I will now turn the call over to Sharat. Please go ahead.
Sharat Sharan: Thank you and welcome everyone to the ON24 Third Quarter 2025 Earnings Call. I appreciate you joining us today. With me is Steve Vattuone, our Chief Financial Officer. First, let me touch on Q3 results. From a P&L perspective, I am happy to share that we delivered a strong Q3, with revenue and profitability above the high end of our guidance and had a strong performance on gross margins and free cash flow. We ended Q3 with $124.5 million in total ARR. While we expected Q3 to be seasonally soft, we did see some unexpected impact to growth ARR in Q3 from slower new growth bookings, including in the life sciences vertical. In Q3, we did see some deal slippage, many of which have already closed in Q4. Importantly, we expect significantly better ARR performance in Q4 compared to Q3, which will set us up well for a stronger 2026. There are a few commercial highlights that I would like to share. First, we recently signed a major new partnership with LinkedIn, which I will discuss shortly. Second, we continue to see strong performance from our AI offerings. Close to one in five of our customers is paying for our AI offer, and we expect this number to increase into Q4 and future quarters, especially with the launch of two new packages, AI Translate and AI Propel Plus. And third, win backs from boomerang customers, especially in regulated industries, continue. While our Q3 ARR performance was below expectation, we are excited that our customer base continues to adopt more of our products, and we continue to see an increase in customers using two or more products, with that metric also hitting an all-time high. In addition, at the end of Q3, we are seeing customers commit more and more to our platform, with the average core ARR per customer reaching over $80,000 at the end of Q3, and the percentage of our ARR in multiyear contracts was the highest ever. Next, at the end of Q3, I will discuss the exciting announcement we recently made with LinkedIn to drive the next generation of event marketing. This partnership brings together ON24, the premier B2B intelligent engagement platform, and LinkedIn, the world's largest professional network. This integration is a game changer for our customers that will enable them not only to multiply event promotion on LinkedIn but also drive additional audiences to their ON24 events. Ultimately, our collaboration will completely transform digital events by providing customers with seamless workflows that push ON24 events directly into LinkedIn events, frictionless registration that syncs event registration data directly from LinkedIn registration forms directly to ON24, and expanded audience reach, promoting ON24 events with high-quality audiences on LinkedIn. The integration will be rolled out in several phases, and ultimately, this partnership will turn digital events into powerful connected campaigns that will drive business forward for both our customers and new prospects alike. Now I will discuss our product innovation that is centered around AI. We continue to make significant enhancements with our AI-enabled offerings. Recently announced, ON24 AI Propel Plus, a brand new modern, intuitive, AI-forward solution that can easily turn every webinar or digital event into an omnichannel multi-touch campaign or engagement. At the core of AI Propel Plus is our AI-powered analytics and content engine, which, as a reminder, enables our customers to repurpose webinars and other digital events into derivative content, including short video clips, blog posts, and nurture assets, which enable a multiplier campaign effect. AI Propel Plus is powered by ON24's first-party engagement data, all of which can be synced into CRM and marketing automation systems for use in retargeting and lookalike audience match. And for those enterprise customers driving global engagement, customers can pair our AI product capabilities with ON24 Translate, our multilingual translation offering, which allows customers to localize every piece of content so they can seamlessly launch their campaign in over 60 countries. Imagine taking a single webinar or virtual event and converting all elements of that, including registration pages, lobby pages, webinars, and all derivative content, in over 60 languages. As an example, one of the largest global technology companies expanded its use of ON24 to localize and scale its digital event program across multiple markets. The team needed a faster, more efficient way to translate and publish localized content for regional audiences without relying on external vendors. With ON24's built-in translation and automation capabilities, the company can now localize over 4,500 events annually in 12 languages, ensuring consistent branding, faster campaign timelines, and deeper engagement in key international markets. Next, I will share a couple of new AI-powered technology solutions that we will be launching soon. First, one-click social publishing, a capability that will help marketers repurpose and refine their content across social media channels. This AI-powered solution will further support our customers' ability to create and post short-form video clips across major social media channels like YouTube, LinkedIn, Facebook, and ads with one click of a button. Second, is our focus on AI agents. These ON24 AI agents will help customers automatically set up events with the right registration and lobby pages to ensure the experience is tailored to the right target audience. And for our global customers, we are going to support agentic AI video translation that will convert videos into multiple languages while maintaining the speaker's voice, tone, and delivery, even synchronized lips to speech to provide a global footprint for presentations. Another area is the Genetic AI video clip optimization, which will allow our customers to identify and develop different types of video clips using an iterative chat interface to refine the video output of video clips and determine the clip's relevance for different use cases. These video clips will also support dynamic layouts, such as vertical as well as horizontal or landscape orientations, and we design social media sharing to magnify program reach and engagement. Finally, and most importantly, we are focused on AI and LLM search discoverability. As LLMs take a bigger role as default search engines, ON24 will use AI to help our clients create a deep reservoir of fresh LLM search-optimized and discoverable content. Our AI discoverability solutions will help customers optimize content for LLM indexing and readability, enhancing landing pages, and summarizing content using the right HTML and JavaScript markup and information architecture. Sales and marketing go-to-market is being transformed, and ON24 is in the driver's seat, becoming the AI-enabled engagement platform that empowers business users to do more with less and achieve measurable results. I am proud that in its latest report, G2, the world's largest and trusted marketplace for software, based on user reviews, ranked ON24 as the number one leader in the enterprise grid for webinar platforms as measured by market presence and customer satisfaction. We see this recognition by G2 as proof that our AI-driven engagement engine is delivering ROI to customers at scale. Next, I want to discuss our continued momentum and customer win backs from boomerang customers, especially in the regulated industry verticals. Here are a couple of examples. A leading provider of retirement and investment management solutions selected ON24 to enhance and scale its retirement plan education programs. Previously managing a large number of recurring sessions through a legacy provider, the team faced challenges with manual workflows and limited personalization. On ON24, they can now automate post-event engagement, integrate insights into their CRM, and deliver personalized participant experiences at scale. Another example of a win back was from the big pharma space. A global biopharmaceutical leader will join ON24 to elevate its digital HCP engagement strategy and move beyond basic web conferencing tools. The team needed a compliant, interactive, data-rich platform that could support live education and integrate directly with its CRM and Viva systems. With ON24, they now deliver immersive, fully branded experiences with interactive features, all while capturing first-party engagement data that drives more informed follow-up. Finally, let's turn to how we are using AI to drive efficiencies in our own organization. We generated positive free cash flow for the seventh consecutive quarter and expect to drive further progress on profitability in 2026. Specifically, we are leveraging AI to increase efficiency in operations. Moving forward, we are actively focused on deploying AI tools within the company to improve productivity, especially in sales and marketing, and to drive higher profit margins. We are targeting a double-digit improvement in sales and marketing expenses as a percentage of revenue in the next two years. Currently, sales and marketing as a percentage of revenue is in the low forties, and we expect to reduce this to the mid-thirties in twelve months and to the low thirties in two years. With the benefits of AI, we believe we can better align our overall expense structure without compromising our innovation roadmap and go-to-market success. To sum up, we believe we are well-positioned to capture the growth opportunity in our market by bringing AI innovation to our industry. We are making ON24 the AI-enabled engagement platform that empowers business users to do more with less and achieve measurable results. We continue to see impressive win backs as boomerang clients recognize the power of the ON24 platform to automate post-event engagement, integrate insights into their CRM, and deliver personalized participant experiences at scale. We are excited about the enhanced solutions we can deliver to our customers through our partnership with LinkedIn and the expansion of our AI solutions, including Agentic AI. We look forward to driving the company to profitable ARR growth in 2026. Before I turn it over to Steve, I wanted to provide an update. The company has received indications of interest for a potential acquisition of the company. The board is evaluating the indications of interest with Goldman Sachs as its financial adviser. There can be no assurances as to the outcome of this process. The purpose of our call today is our third quarter results, and we ask that you keep your questions focused on this topic. Now I will turn it over to Steve.
Steve Vattuone: Thank you, Sharat, and good afternoon, everyone. I am going to start with our third quarter 2025 results and will then discuss our outlook for the fourth quarter 2025 and full year 2025. Total revenue for the third quarter, which includes revenue from our virtual conference product, was $34.6 million. Total subscription and other platform revenue was $32 million. Total professional services revenue was $2 million, representing approximately 8% of total revenue. Revenue from our core platform, including services in 2025, was $34 million. Moving on to ARR. ARR represents the annualized value of all subscription contracts at the end of the period and excludes professional services and overages. Total ARR at the end of Q3 was $124.5 million, and ARR related to our core platform was $122.4 million. As Sharat discussed earlier, while we did see some softness and deal slippage in our growth business during a seasonally softer summer quarter, including in the Life Sciences vertical, we see many positive signs in our business, and we expect to improve ARR performance in Q4, which I will cover in our guidance discussion. Now let me cover some of our customer metrics. Our continued focus on larger enterprise customers resulted in improvements in a number of our customer metrics. Our continued focus on enterprise customers resulted in our average core ARR per customer reaching its highest level ever at over $80,000 per customer. Our strategy of moving customers to longer-term commitments has resulted in the percentage of our ARR in multiyear agreements hitting another all-time high at the end of Q3. This number was 51% at the end of 2024 and increased sequentially each quarter in 2025. Our emphasis on increasing the deployment of our product set, including our new AI-enabled products within our customer base, has shown results. In Q3, the percentage of our customers using two or more products hit an all-time high, having increased sequentially every quarter in 2025. As Sharat discussed, almost one in five of our customers are now using and paying for our AI solutions, a number which has continued to grow sequentially each quarter of the past seven quarters since the beginning of 2024. In Q3, the $100,000 and above customer cohort represented approximately two-thirds of our total ARR, consistent with last quarter, with 294 customers in this cohort. The total customer count at the end of Q3 was 1,521. Before turning to expense items and profitability, I would like to point out that I will be discussing non-GAAP results going forward. Our non-GAAP results exclude stock-based compensation, restructuring charges, impairment charges for real estate, amortization of acquired intangibles, shareholder activism-related costs, certain legal costs related to litigation regarding the 2021 IPO, as well as certain other items. Our GAAP financial results, along with a reconciliation between GAAP and non-GAAP results, can be found within our earnings release. Our gross margin in Q3 was 76%. Our year-to-date gross margin through Q3 was 77%, which is consistent with our gross margin for the 2025 fiscal year. Now moving on to operating expenses. Sales and marketing expense decreased in Q3 to $14.4 million compared to $15.9 million in Q3 last year. This represents 42% of total revenue, compared to 44% in the same period last year and 43% last quarter. Our sales and marketing expenses have decreased in absolute dollars and as a percentage of revenue both year over year and from last quarter as we continue deploying AI tools to increase efficiency. R&D expense in Q3 was $6.6 million compared to $6.7 million in Q3 last year. This represents 19% of total revenue compared to 18% in the same period last year and 19% last quarter. We have continued to invest in product innovation for our platform, including AI-enabled features that utilize our first-party data advantage. G&A expense in Q3 was $5.8 million compared to $6.2 million in Q3 last year. This represents 17% of total revenue compared to 17% in the same period last year and last quarter. We have taken actions to reduce our G&A spending, and as a result, our G&A expenses in absolute dollars have decreased as compared to the same period last year and last quarter as we have continued to streamline our G&A functions. Moving on to our bottom line performance and cash flow metrics. Operating loss for Q3 was $400,000 or a negative 1% operating margin compared to an operating loss of $800,000 and a negative 2% operating margin in the same period last year. Net income in Q3 was $1.2 million or $0.03 per share based on approximately 45.1 million diluted shares outstanding. This compares to net income of $1.1 million or $0.02 per share in Q3 last year using approximately 45.6 million diluted shares outstanding. We delivered positive adjusted EBITDA in Q3 and delivered our seventh consecutive quarter of positive free cash flow. Our free cash flow in Q3 was positive $2.7 million, excluding cash outflows related to our restructuring efforts, shareholder activism fees, and certain other legal costs, which collectively totaled $500,000 in Q3 2025. Our free cash flow in Q3, including all of these items, was positive $2.2 million compared to positive $100,000 in Q3 of last year. Cash provided by operations in Q3 was $2.5 million compared to cash provided by operations of $300,000 in Q3 last year. I would like to provide an update on the $50 million capital return program we announced in May. In Q3, we utilized approximately $7 million for share repurchases under this program and a further $2.4 million thus far in Q4 under this program. Since we launched this program in May, we have utilized a total of approximately $13.8 million under this program. This share repurchase program followed the completion of three earlier capital return programs. Our three earlier capital return programs collectively returned $191 million to shareholders. Our balance sheet remains strong with approximately $175 million of cash and investments at the end of Q3. Now turning to our guidance. Regarding Q4 guidance, we expect Q4 total revenue, which includes our virtual conference product, in the range of $33.9 million to $34.5 million and core platform revenue, including services, in the range of $33.3 million to $33.9 million. Professional services is expected to represent approximately 8% of total revenue. We expect our gross margin to be 76% to 77% in Q4. We expect a non-GAAP operating loss in the range of $800,000 to $200,000 and non-GAAP net income per share of $0.01 per share to $0.02 per share using approximately 44.8 million diluted shares outstanding. In Q4, we also expect to be adjusted EBITDA positive. We expect a restructuring charge of $500,000 to $800,000 in Q4 related to our ongoing cost reduction efforts, which is excluded from the non-GAAP amounts provided above. Amortization of acquired intangibles, shareholder activism costs, certain other legal costs, and certain other items are excluded from the Q4 non-GAAP amounts provided above. Now I would like to provide our outlook for ARR. We expect to see a meaningful improvement in ARR performance in Q4 as compared to Q3. We expect to end the year with the strongest gross retention in 2025 and expect our growth bookings to deliver a strong performance. That being said, it is early in the quarter, and Q4 tends to be a back-end loaded quarter, so we are providing a wider range for Q4 core ARR performance. In Q4, we expect core ARR to increase by 1% to an increase of $500,000 as compared to Q3 levels. For our Virtual Conference product, we expect the ARR to be $2 million at the end of 2025. Now turning to our annual guidance for 2025. For the full year, we expect total revenue to be in the range of $138.6 million to $139.2 million. Professional services is expected to represent 7.5% to 8% of total revenue. We expect core platform revenue, including services, to be in the range of $136 million to $136.6 million. We expect a non-GAAP operating loss in the range of $4.2 million to $3.6 million and non-GAAP net income per share of $0.05 per share to $0.06 per share using approximately 45 million diluted shares outstanding. We expect gross margins for the year to be 76% to 77%. We expect to be adjusted EBITDA positive in Q4 and 2025. Excluding any incremental non-GAAP expenses, we expect to deliver positive free cash flow in 2025, our second consecutive year of positive free cash flow. Restructuring charges, amortization of acquired intangibles, shareholder activism costs, certain other legal costs, and certain other items are excluded from the full-year non-GAAP amounts provided above. As Sharat discussed, we are making progress in improving our go-to-market strategy, which has allowed us to lower our sales and marketing spending as we exit 2025 and head into 2026. We are actively deploying AI tools at ON24 to improve efficiency and streamline our operations, including in the go-to-market functions. We are very focused on improving our profitability and expect to lower our sales and marketing expenses as a percentage of revenue by mid-single digits by the end of next year and by double digits in the next two years. This should bring our sales and marketing expenses as a percentage of revenue down to the mid-30s in twelve months and low-30s in two years. We expect these cost reductions will flow to the bottom line and increase our profitability in 2026 and beyond. In summary, in Q3, we made significant progress on our strategic roadmap while delivering P&L results above guidance. We expect to deliver better ARR performance in Q4 driven by improved gross retention performance, increased AI penetration in our customer base, new business performance from regulated industries, and our exciting new partnership with LinkedIn. We expect to deliver positive adjusted EBITDA in Q4 and 2025. With a focus on lowering our sales and marketing spending over the next two years and actively deploying AI within our organization to lower costs and streamline operations, we expect to deliver improved profitability in 2026 and beyond. Our goal is to return to ARR growth next year with a more profitable operating model. With that, Sharat and I will open the call for questions. We will now be conducting a question and answer session. Our first question comes from Rob Oliver with Baird. You may proceed with your question.
Rob Oliver: Great. Thanks, operator. Good afternoon. The first question for me is around Sharat, I think you called out nearly 20% of customers paying for your AI solutions. That is a really impressive number. Was hoping to get a sense from you guys of what sort of potential uptick you are seeing from that, recognizing it's still early, but that's a pretty sizable chunk. And so I just wanted to get a sense of how that's impacting contracts, whether that's contributing to that continuously improving ACV number at enterprise. Any color there would be helpful. I just had a quick follow-up for Steve as well.
Sharat Sharan: Yeah. Rob, as you said, we now have one in five customers that are paying for AI solutions. And this number as a percentage of revenues continues to increase every quarter. We expect it to continue to increase in Q4 and in future quarters. And this also provides a significant white space as we move forward. And now we have recently announced our AI Translate and AI Propel Plus offerings. AI Translate allows the customers to take a webinar and convert that into 30 different languages and campaigns. And AI Propel Plus is a brand new modern intuitive AI-powered solution that can easily turn every webinar or digital event into an omnichannel, multi-touch campaign or engagement. So these two offerings, in addition to AI, will continue to provide increased momentum and grow penetration with our AI offerings. You asked a question about, you know, already our AI solutions are, if you look at our expansion agenda, after our content marketing solutions, they are number two in terms of where they fall in. And my open expectation is sometime next year, they will cross to become the largest driver of expansion for ON24. We expect our ASP on that number to increase with the additional products. We also expect the penetration on the number of customers to increase. Now the other thing is this is also helping us both from a retention point of view. It is helping us from an expansion point of view. And also, close to 40 to 50% of our new deals are including AI too. So that is an important thing as we move forward. Now as we move yeah. I've talked about AI Propel Plus. I talked about AI Translate. As we move forward, we continue to focus on our agentic AI and AI search discoverability agenda also. And so all this that we are doing, Rob, is building on our strengths and first-party data. We have over a billion engagement minutes annually in our platform. We have hundreds of thousands of webinar experiences on our platform. And in the age of AI, both content and first-party data will win. The last thing I want to also mention, which I we will also mention on the call, that we are not only doing this for our customers, but we are also leveraging agents and others internally in the business, and that's what gives us confidence in some of the stuff that we talked about on sales and marketing. Hope that helps.
Rob Oliver: Yeah. That does help. And that actually was gonna be part of my second question for Steve was around, you know, clearly, it sounds, Steve, like you guys are, you know, some of that really nice improvement on the sales and marketing and efficiency is coming from AI. Wondered if you could give us a little bit more color around how much is that tech innovation, how much of it is that low-hanging fruit internally, how much of it is potentially headcount? And then you guys have made some nice progress not just stabilizing the business, but also growing at the higher ARR accounts at the enterprise level. So I guess two-part question. One, some more color around the component of those that go-to-market efficiency. And secondly, how do you do that in a way where you make sure you do not disrupt kind of the improvements that you guys have been showing at the upper end of the client range? Thanks very much.
Steve Vattuone: Sure. Let me go ahead and answer both of those questions for you. So first off, we have streamlined our go-to-market over the past few years, and we've reduced our sales and marketing quarterly spending from about $25 million in mid-2022 to less than $15 million a quarter in Q3. That's a reduction of about $10 million per quarter or $40 million annually. Now in terms of how we'll lower the expense going forward, we have been deploying AI within our organization to increase efficiency, and we'll continue to do that. That includes using our own products to be more efficient. We're also looking at reallocating resources within our go-to-market organization to focus on the areas with the highest growth potential, which are currently in the regulated industries, particularly in financial services and professional services. Life sciences, while currently under some macro pressure, is also an area where we have historically been strong, and we will continue to invest there. And lastly, we'll continue to look at ways to be more efficient and do more with less, which has allowed us to lower our sales and marketing spending over the past number of years, and we'll continue to do that. We can do all this while maintaining the right number of go-to-market resources. And that'll allow us to return to ARR growth in 2026.
Rob Oliver: Great. Thanks very much.
Steve Vattuone: Our next question comes from Michael Rackers with Needham. You may proceed with your question.
Michael Rackers: Hi. This is actually Scott Berg. I guess lots of questions here. Sharat, I wanted to start with the deal slippage you mentioned from Q3 to Q4. Sounds like you closed a number of those transactions already in the quarter, which is obviously good. But wanted to see was there any commonalities with some of these deals that slipped out of Q3 and into Q4? Or was it more, I guess, random in nature?
Sharat Sharan: I think, Scott, where we saw a little challenge in Q3, if you look at the pipeline, this is especially on the new business side. We saw a little less urgency in closing a deal from proposal plus to closure. I think, you know, Q3 tends to be a seasonally summer quarter, seasonally softer. We saw deals move from discovery to proposal plus. With proposal plus, closure. We saw them, you know, we saw $6.7 million worth of deals that slipped into Q4. And like I said, about 60-65% of those deals have already closed in Q4, which gives us a good sense. And so that's what we saw predominantly on the new business side. Our installed base business was fine. We did expect it to be a seasonally soft quarter, so that's what happened. We also did see some pressure in the pharma business. Now that has been a great business for us. In the last six to nine months, we've seen some short-term pressure in the pharma business. That being said, as we talked about it, our average core ARR per customer reached its highest level ever at over $80,000 per customer. The percent of ARR in multiyear agreements hit an all-time high. And the percentage of customers using two or more products also hit an all-time high. So now as I look at let me just also give you a color on Q4 ARR. And Steve talked about it. Q4, you know, it's hard to kind of provide guidance on ARR in itself. And Q4 is even harder because it's such a back-end loaded quarter. We've given a wider range of 0.5% to minus 1%, but we believe we are within striking distance of getting to positive ARR. We expect this to be one of the best gross retention quarters in Q4 in the last four to five years. We expect continued momentum from our AI offerings both from new and expansion business. And we also expect that the LinkedIn partnership will also start helping us drive improved new business and customer retention. And we will continue to see momentum in win backs and continuing traction in regulated industries. So yes, we have some work to do, but we've made some significant progress and enhancements in our business.
Scott Berg: Sure. Very helpful there. Thank you. And then on the LinkedIn partnership, just wanted to connect on that, I guess. When you look at that, is that, I mean, we kind of described it as sounding like a channel something for your customers to be able to tap into from a distribution perspective. But is there any monetization opportunity with that? Or is it really just more about enhancing the platform to improve customer kind of retention stickiness and make it even more attractive?
Sharat Sharan: Thank you. Yeah. I think there are stages to that. So let me just explain this. And it's bigger than you may be thinking right now as we launch the various stages. But, you know, this will literally drive the next generation of event marketing. We are the only webinar platform, maybe this engagement platform that LinkedIn has done this collaboration with. And I believe this is gonna be a game changer for our customers, and this partnership will ultimately transform digital events. So what this allows you to do is if you are publishing an event in ON24, you can literally seamlessly drive audiences from LinkedIn to come into that event. You can publish events directly on LinkedIn in just a few clicks and then quickly promote and capture registrants to drive seamless registration. And this is just the first phase of our integration. As we move forward, what you will see so in the first phase, yes, it is gonna be more about retention. It's gonna be more about new customers. But just imagine now customers can get through LinkedIn ads automatically for the event that they're doing. They can drive ten, twenty, fifty, 100 registrants right from the LinkedIn channels. Seamlessly. But in subsequent phases, what we'll be able to do here, Scott, we'll be able to leverage our first-party engagement data. And with LinkedIn, we'll be able to allow with that, they will allow lookalike audiences from LinkedIn. So we provide them some data, say, these are the people that we want. They'll provide lookalike audience data. And that will be able to provide those very specific audiences into the events of our customers. Now that will be monetized. We'll have a monetizable SKU on that that would impact our top line. We are very excited about the potential of this partnership and its impact on our growth in 2026 and beyond.
Scott Berg: Very helpful. Thanks for taking my questions.
Steve Vattuone: Our next question comes from D. J. Hynes with Canaccord Genuity. You may proceed with your question.
Luke: Hey, guys. This is Luke on for DJ. Thanks for taking the question. So maybe to start, could you just tell us a little bit more about this AI search discoverability agenda you laid out? You know, the vision there, what those products will entail, what they look like, and what you think you can achieve there.
Sharat Sharan: Yeah. So some of this is an early look, and I don't want to disclose everything. But let me share some of this information just at a high level. When our customers do events, they have registration pages, they have lobby pages, they do the webinar, and now they get the derivative content. They get the blogs, takeaways, all AI transcripts. They get all the video key moments and those and all that kind of information. Right? Now as you know, what the LLMs do, they basically scour places, like the search, and they develop a foundation. What we are gonna be able to do, if you are doing, like, 100, 200, 300, 400 webinars, we'll provide you things like transcripts, but all other things. As you structure your content on the ON24 platform, we make it, you know, and once it is done, we'll make it available to you whether it's in on-demand and others. So all that content can be indexed by the LLMs. Okay? So it's discoverable by the LLMs and indexed by the LLMs. Remember, you are no longer talking about a live event. That is done on an event basis. You're talking about really continuous engagement. All the other content, you'll be able to take all your video content, publish it to YouTube and other stuff. So be an ability to take all that content, index that into the LLM so that they become part of the search. Okay? Hopefully, that makes sense. And so there is a lot more work that we are doing in that regard. Again, with all the content, 130,000 experiences that we have on the platform, and all the other derivative content. Imagine with especially with translations. We have 130,000 experiences on the platform. And each experience converts into 15 more derivative contents or different languages and other stuff. Imagine you've got over 2 million pieces of content across the platform. And now how do you make it so that it is indexable by the LLM? How do you make it very easy so that it's searchable by the LLMs? That's an area that we are very focused on.
Luke: Excellent. Very helpful. And maybe just a quick follow-up. As we think about this LinkedIn partnership, you know, you've described it as a multiphase approach. Just how should we be thinking about the timeline in the various phases and when that will be complete?
Sharat Sharan: I think you should be thinking in terms of the first phase is this year. Phase two will launch approximately by the end of the year, which is gonna be much more what I think of as the partnership. And by Q1, you will start to see elements that will be monetizable in the platform. You should assume by February, we'll be able to launch things like the lookalike audiences that will be monetizable by ON24 for our customers. So that's where we believe that is going to move forward. And by the end of Q1, I expect the integration to be extremely tight now between ON24 and LinkedIn to really provide meaningful capability to our customers and start to provide an inflection on our top line.
Luke: Excellent. Thank you.
Steve Vattuone: Our next question comes from Linda Lee with William Blair. You may proceed with your question.
Linda Lee: Thank you for taking my question here. Just a quick one to start off. Since changing, updating the go-to-market motion into more of an enterprise focus, how has the new go-to-market motion performed compared to your expectations so far?
Sharat Sharan: Yeah. So, Linda, when we talk about the go-to-market motion, there are multiple parts to that. Again, it's more enterprise-focused. It's also we deliberately made a thing about being focused more on regulatory industries like financial services, life sciences, and professional services. I'll just provide you some information. Our regulated industries business is about 50% of our business now. Four, five years back, that was about 33-34% of our business. Now I know we are having some short-term headwinds in the life sciences business. But if you look at our financial services business, which is about 20%, and if you add our professional services business, which also has national and state regulations, so it's part of the regulated industries. Those two businesses with the 35% are growing mid-single digits year over year. They're also very high gross retention businesses close to 90%. So essentially, I think that execution and really tightening up our focus on financial services and life sciences and health. Also tightening up our focus on the go-to-market as we are focused on our strategic accounts and the next tier accounts, both from a customer success, marketing, and sales point of view, has helped us significantly. And we expect to continue to basically do that. As we move forward, you will see us continue to emphasize our AI-based offerings. You will see us continue to focus a lot more on the regulated industries. And this is also being seen in cases of the win backs. We are seeing whether it's in the regulated industries or otherwise, I'll give you an example of a customer win back. A leading provider of retirement and investment management solutions left us to go to one of the collaboration tools, and they came back to us because when they went there, they do a lot of recurring sessions, and they could not do those through a legacy provider. The team faced challenges with manual workflows and limited personalization. With ON24, they can now automate post-event engagement, integrate insights into their CRM, and deliver personalized participant experiences at scale. So as we move forward, and I think we've talked about the sales and marketing efficiency, you will see us double down even more in that category.
Linda Lee: Well, and another question here, with the new CMO joining early in the year here, how has the transition been in terms of the onboarding of the new CMO, David Lee? And also, what are the strategies here in terms of as you guys are focusing more on the AI products and features and capabilities to your customers, in your conversations with sales teams, if you could give more color on that?
Sharat Sharan: Yeah. I think David has joined, and it's been some time since he joined now. In our business, that's kind of a lifetime. So he's very well ramped up. And when we look at our team's go-to-market teams, Linda, David has a head of demand generation. Now we also got to change that position. And there's a really good VP of demand generation that he brought on. Also brought on a VP of corporate marketing that's really driving a lot of our agenda on LinkedIn and other stuff. And he's got other people like VP of product marketing. Now the corporate marketing and demand generation leaders are very closely tied with the sales teams and the customer success team. So that's become a very important part of our agenda. So the focus on LinkedIn, the focus on they're doing campaigns for financial services and regulated industries. So they're doing full campaigns on the expansion team. And for AI-based offerings. So, again, I think the go-to-market team is working very, very closely. David and his team are quite ramped up. And that gives us confidence that we can, as we move forward, be more efficient in the sales and marketing spend and also continue to deliver our growth numbers.
Linda Lee: Awesome. That's helpful. Thank you.
Operator: Ladies and gentlemen, this concludes our question and answer session. And does conclude today's teleconference as well. Thank you for your participation. Please disconnect your lines and have a wonderful day.